Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to TRxADE HEALTH Second Quarter 2022 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation the conference will be open for questions. The earnings press release accompanying this conference call was issued at the close of the market today. The quarterly report, which includes additional information regarding the company’s results of operations for the quarter ended June 30, 2022, was filed with the SEC earlier today. On our call today is TRxADE HEALTH Founder, Chairman and Chief Executive Officer, Suren Ajjarapu; and Janet Huffman, its Chief Financial Officer. The replay of this call and webcast will be available for the next 30 days on the company’s website under the NASDAQ MEDS link. The company’s website also includes more supporting industry information. At this time, I’d like to turn the call over to Janet Huffman, the company’s Chief Financial Officer, Janet, the floor is yours.
Janet Huffman: Thank you, Operator, and thank you for joining us today. I’d like to welcome you to our 2022 second quarter financial results conference call. A press release announcing our 2022 second quarter financial results was issued after the close of market today and is posted on our website. We have also furnished such press release to the SEC on Form 8-K. Statements made on this call and webcast will include forward-looking statements. These statements include but are not limited to our outlook for the company and statements that estimate or project future results of operations or the performance of the company. These statements speak only as of the date hereof and the company assumes no obligation except as required by law, to revise any forward-looking statements, that may be made in today’s press release, call or webcast. These statements do not guarantee future performance and are subject to risks, uncertainties, and assumptions. For information on risks, uncertainties and assumptions that may cause actual results to differ materially from forward-looking statements, please refer to the press release, the risk factors included in our most recent quarterly report and our most recent annual report and other documents we file with the Securities and Exchange Commission. These documents include, but are not limited to our most recent quarterly report on Form 10-Q and any subsequently filed periodic report or current report on Form 8-K. In addition, during today’s call and webcast, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of TRxADE performance. These non-GAAP measures should be considered in addition to, not and -- and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results at the end of our earnings press release. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of fiscal 2021. During the question-and-answer portion of today’s call, please limit yourself to no more than one question and one follow-up. At this time, I’d like to turn the call over to Suren Ajjarapu, the company’s Chief Executive Officer. Suren?
Suren Ajjarapu: Thank you, Janet. We continue to see revenue improvement in 2022 and our revenue base continues to return to the core TRxADE pharmaceutical market platform. Our nationwide footprint continues to grow as we relentlessly focus on exciting new ways to support our large growing network of registered users developing technology and products that better enable them to service their respective customers, the end users, strengthening their loyalty to their local retail pharmacy. Before we’ll do a more detailed walkthrough of financial and operational results of the quarter, for those of you who are new to the company, I’d like to walk you through who we are and how we are digitalizing the retail pharmacy experience through the optimization of drug procurement, the prescription journey and patient engagement. Prior to the launch of TRxADE, obtaining drug calls as an independent pharmacy was an extremely laborious with time and efficient process with no insight or transparency into fair market price or what others are paying for the same drug. Traditional wholesalers would provide unfavorable payment terms, slow delivery and create a difficult conundrum for the approximate 19,400 independent pharmacies nationwide. We identified this market inefficiency, as well as incredible potential, indeed independent pharmacies, which together maintain an estimated approximately $67.1 billion in annual purchasing power and proceeded to launch TRxADE. We design, own and operate a business-to-business web-based market platform, bringing together the nation’s independent pharmacies with accredited national pharmaceutical suppliers to provide a uniquely efficient and transparent buying and selling process. Our platform let independent pharmacies know that they’re receiving a fair price from competing players and a fair payment terms and often with next day delivery. We believe this radical price transparency, economy of scale and competition among suppliers leads up to a 10% reduction in pharmacies total annual drug purchase costs with drug level savings of up to 90% on some certain pharmaceutical products. Our platform saves pharmacies from having to manually compare prices across distributors, saving hundreds of hours of unnecessary labor annually and eliminating negative reimbursement or fulfilling a prescription at a loss. Our revenue model is simple, where paired an administrative fee of up to 6% of the buying prices and the generic pharmaceutical and up to a 1% on the brand pharmaceuticals that pass through our pharmaceutical platform similar to PayPal or Visa like model. To-date, we have seen incredible success in garnering attention from these independent pharmacies nationwide, validating our business model. Our TRxADE platform currently has over 13,815 registered members. New registered members in 2022 represent approximately 658 new members in the first half of 2022, with the 339 new members added in the second quarter of 2022 itself. This is compared to 190 for the second quarter of 2021 and 420 for the first half 2021. Another exciting growth metric on our TRxADE platform includes a 21% increase in sales volume processed across our platform in the second quarter of 2022 compared to the same quarter of 2021. Our TRxADE platform revenue also increased 11% in the second quarter of 2022 compared to the second quarter 2021. TRxADE Prime has also experienced exciting growth in the quarter. Comparing the second quarter of 2022 to 2021 reflects a $1.4 million increase in revenue and increases in the number of orders processed by approximately 330%. TRxADE Prime also reflected a 715% increase in the number of units sold for the second quarter of 2022 compared to the same quarter in 2021. We expect this growth to continue in 20 22%. TRxADE Prime also announced a proffered distribution agreement with GALT Pharmaceuticals in July of 2022. The agreement with GALT acts a single-source and multi-source products to the TRxADE Prime catalog directly the manufacturer of GALT Pharmaceuticals. The partnerships add to the mission of helping our independent pharmacies and their members to access top medication products as a part of the TRxADE Health network. The partnership with the GALT Pharmaceutical will diversify our product offering, renews our commitment to our independent pharmacies. On the capital market front, we continue to be initiative taking and presented at the Maxim Virtual Growth Conference on the panel technology improving healthcare held on March 30th. I also attended the LD Micro Invitational held on June 7th through June 9th. We attended conferences with the goal of enhancing broader investor awareness for our company. I’d like to now turn the call over to our Chief Financial Officer, Janet Huffman, to walk through some key financial highlights from the second quarter of 2022.
Janet Huffman: Thank you, Suren. Let’s discuss second quarter 2022 results. Revenues for the second quarter of 2022 increase 73% to $3.3 million, compared to revenue of $1.9 million in the same quarter last year. The increase in revenue was primarily due to revenue generated by our TRxADE platform and TRxADE Prime. Due to increase revenues generated by the TRxADE platform and TRxADE Prime, gross profit increased to $1.2 million in the second quarter of 2022, compared to $800,000 for the same period in 2021. As a percent of revenue, our gross profit decreased to 36% in the second quarter of 2022, as compared to 44% in the second quarter of 2021. Operating expenses in the second quarter of 2022 were $2.3 million, compared to $3.4 million in the same quarter last year. The expense decrease for these comparable periods is primarily due to a $1.2 million loss on inventory investment recognized in 2021, significantly increasing operating expenses for 2021 as compared to 2022. Net loss in the second quarter of 2022 was $1.1 million or $0.13 per basic and diluted share outstanding, compared to $2.6 million or $0.32 per basic and diluted share outstanding for the same quarter in 2021. Adjusted EBITDA, a non-GAAP financial measure was a negative $1.1 million for the quarter ended June 30, 2022, compared to negative $1.2 million in the same quarter last year. Looking at our balance sheet, cash and cash equivalents were $1 million as of June 30, 2022, compared with $3.1 million as of December 31, 2021. The decrease in cash was mainly due to our IT initiatives, our investment in SOSRx, increased salaries and wages, legal expenses and other administrative expenses, as well as a cash prepayment for inventory that will fulfill our sales order in the third quarter of 2022. With that, I will turn the call back to Suren for closing remarks.
Suren Ajjarapu: Thank you, Janet. In summary, we’re focusing on exciting new strategic partnerships to drive forward our core business, which is our marketplace, while diversifying our revenue base. Taken as a whole, I think we’re building an incredible compelling healthcare ecosystem, allowing consumers access to affordable healthcare by building an exciting value proposition for all stakeholders. I look forward to seeing what the future holds as we continue a rapid pace of operational execution, creating sustainable long-term value for my fellow shareholders. With that, I’ll turn it over to the Operator to begin a question-and-answer session. Operator?
Operator: Thank you, sir. [Operator Instructions] And our first question comes from the line of Allen Klee with Maxim Group. Please proceed with your question.
Allen Klee: Good afternoon. Can you give us a sense of how you -- do you think that we’ll have sequential revenue growth for each quarter for the rest of 2022?
Suren Ajjarapu: First of all, thank you, Allen. We still continue to see some issues in the supply chain, as well as the expenses in the transportation charges. That’s towards an expense. So towards the revenue we see a little bit of sequential growth, but we feel confident that we’ll be having a sequential growth in the next two quarters, yes.
Allen Klee: Great. And then in terms of your gross margins, did you -- they were hit a little bit with the, I believe due to TRxADE Prime expanding. Is -- do you believe that that over the rest of the year that the gross margin should stay at the level they are at now or should improve or how should we think about that?
Suren Ajjarapu: Janet, do you want to take that question?
Janet Huffman: Sure. Not a problem. You’re right. Gross margin from a $1 perspective increased from a percent of revenue did decrease because the COGS on the platform side are -- there are not right and so when we grow the IPS revenue, we will see increased COGS as well. We’ve made some adjustments there and I think that we will see some sustained gross margin as we move through the last two quarters of the year. Yeah.
Allen Klee: Okay. Any update on your SOSRx partnership and also on the general purpose -- the GPOs that you’re working on?
Suren Ajjarapu: Yeah. The SOSRx as -- we are -- our partnership just started. We signed a deal back in February. It took us couple of months to even pitching the technology to the manufacturer. So we probably won’t see any revenues the rest of the year. Hopefully, probably, the first quarter of next year we’ll try to see some revenues. As far as the GPOs are concerned, we’re continues to add more members. That’s what you see the membership growth. I think, as I mentioned earlier, the first quarter, the second quarter itself 339, overall 600 and plus odd members that we’ve added in the first six months. So that’s where you see a lot of the GPO pharmacists are joining our platform.
Allen Klee: Thank you all. I’ll jump back in the queue.
Operator: [Operator Instructions] Our next question comes from the line of Howard Halpern with Taglich Brothers. Please proceed with your question.
Howard Halpern: Good afternoon, guys.
Suren Ajjarapu: Good afternoon, Howard.
Howard Halpern: If you could provide maybe a little bit more color on the recently announced agreement with GALT and are you seeking other products with GALT or other pharmacies to do that kind of distribution and what kind of business opportunity is there for that personalized, I guess, distribution?
Suren Ajjarapu: Yeah. The -- our main product or rather our main customer base is independent pharmacies, right? So we’re trying to bring a manufacturer as -- access to these specialty drugs that independent pharmacies don’t have. So those relationships will give them the access to the drug in the first place and then higher margin that they can get from the reimbursements. So that’s the reason it’s a bringing the manufacturer direct versus going through a big wholesale chain or wholesalers that big lose the margin and we’re trying to bring the manufacturer direct to my independent pharmacies.
Howard Halpern: Okay. And yeah, just in terms of operating expenses, are we going to see that, I guess, improve a little bit as time goes by with some cost cutting measures or are we in that $2.2 million range for the foreseeable future?
Suren Ajjarapu: As you are aware all the industries are facing similarly the inflation issues, so we have to take care of our employees by increasing their salaries. Otherwise, we get threatened by their leaving and stuff. So I probably see that next two to three quarters sustainable at that level, $2.3 million level, probably, in the 2023, we may able to see some improvements in those expenses.
Howard Halpern: Okay. And just one additional question, with the Prime offering growing fairly rapidly and you talked about how the gross margin is, but do you have to add any operating expenses or as Prime grows or you -- as Prime grows your operating expenses that are really relatively fixed?
Suren Ajjarapu: Well, that’s an excellent question, Howard. Now except the shipping charges, I think we want to go after our electronic, because we’re focusing on the technology platform. So we would like to try to do the drop shipment directly from the DCs to where the customer base is, instead of rebuilding the shipping costs. So…
Howard Halpern: Yes.
Suren Ajjarapu: … going forward we try to see sustainable expenses and except the product cost, we should see the higher margin on there.
Howard Halpern: Okay. Okay, guys. Keep up the good work.
Suren Ajjarapu: Thank you.
Operator: And our next question come from the line of Allen Klee with Maxim Group. Please proceed with your question.
Allen Klee: Hi. Just in terms of your -- in terms of the volumes that you’re doing of sales for the TRxADE platform, can you give any commentary on if there were any changes in the mix of generic, like, the percent that generic stays at the total mix?
Suren Ajjarapu: Yeah. That’s another one. Allen. I think as the supply chain issues globally still pushing the pressure on the branded drugs that are available locally here, most of the generic products come from either India or other parts of the world. So we see the same trend, I hope next six months to 15 months, we see the same trend, more of a brand versus less generic that are flowing through our platform.
Allen Klee: Okay. Thank you.
Operator: And we have reached the end of the question-and-answer session. I’ll now turn the call back over to Suren for any closing remarks.
Suren Ajjarapu: Thank you, Operator. I’d also like to thank you all of you for joining our earnings call -- conference call. We look forward to continuing to update you on the ongoing progress and growth. If we were unable to answer any of your questions, please reach out to our Investor Relations department. We’ll be more than happy to assist. For any of you who may have joined the call in progress, remember that the replay of this call and webcast will be available for the next 30 days on the company’s website under the NASDAQ: MEDS link. And more information regarding the financial disclosed on this call or webcast during a reconciliation of non-GAAP financial information can be found in our press releases releases -- release, which we filed after the close of the market today. Thank you all.
Operator: And this concludes today’s conference and you may disconnect your lines at this time. Thank you and have a great day.